Operator: Good day, and thank you for standing by. Welcome to the HighPeak Energy Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steven Tholen, Chief Financial Officer. Please go ahead.
Steven Tholen: Good morning, everyone, and welcome to HighPeak Energy's Third Quarter 2025 Earnings Call. Representing HighPeak today are President and CEO, Michael Hollis; Executive Vice President, Ryan Hightower; Executive Vice President, Daniel Silver; Senior Vice President, Chris Munday; and I am Steven Tholen, the Chief Financial Officer. During today's call, we may refer to our November investor presentation and our third quarter earnings release, which can be found on HighPeak's website. Today's call participants may make certain forward-looking statements relating to the company's financial condition, results of operations, expectations, plans, goals, assumptions and future performance. So please refer to the cautionary information regarding forward-looking statements and related risks in the company's SEC filings, including the fact that actual results may differ materially from our expectations due to a variety of reasons, many of which are beyond our control. We will also refer to certain non-GAAP financial measures on today's call, so please see the reconciliations in the earnings release and in our November investor presentation. I will now turn the call over to our President and CEO, Mike Hollis.
Michael Hollis: Thank you, Steve. Good morning, everyone, and thank you for joining us today for HighPeak's third quarter conference call. I'm going to start today's call with a brief overview of our third quarter results and a quick update of our current development activity, after which and more importantly, I want to use this opportunity to give you a glimpse into our company road map looking forward. With that said, before we start talking about HighPeak's future, I'm proud to report that we delivered a solid third quarter results, which tracked our internal expectations. Production levels were consistent with the second quarter despite our reduced level of development activity. We only ran 1 rig through the entirety of the third quarter, drilled 6 wells and turned in line only 9 wells. That's roughly 2/3 of our tills that we had in Q1 and Q2. Our CapEx was down 30% from Q2 as a result of our deliberate reduction of development activity and was spot on with our internal estimates. We held our LOE per BOE consistent with our first half 2025 levels. And as we discussed on last quarter's call, we successfully amended and extended our term loan, pushed out debt maturities until 2028 and materially increased our liquidity. Now turning to current operations. Due to continued weakness in commodity prices and overall market volatility, we delayed picking our second rig back up until mid-October, a roughly 1.5-month delay from our original plan. Now we plan to run both rigs throughout the fourth quarter before making a determination as to what the appropriate level of activity should be for 2026, which will be heavily dependent on oil prices, D&C cost and overall market conditions. And we recently finished our second successful simul-frac completion on a 6-well pad with 15,000-foot average lateral lengths. This operation went smoothly with HighPeak recognizing cost savings per well of over $400,000 compared with our traditional zipper frac technique, and we were even able to increase some efficiencies compared to our first simul-frac job, more lateral footage completed per day. We utilize continuous pumping operations and averaged over 4,700 feet of completed lateral footage per day. The operations team keeps delivering. We are very encouraged by the results that we've achieved to date utilizing the simul-frac ops, and we plan to tailor our 2026 development program to incorporate this completion technique more. Suffice it to say, HighPeak's operations and well performance are a well-oiled machine. That said, we will always find new innovative optimization opportunities. As we have always done, our operations department will maintain a laser focus on low-cost operations. Now let's turn our focus to the future. I know you've all have heard from me and the other HighPeak senior team members on these calls in the past, but this is the first time I've had a chance to speak with you as the CEO, and I will very clearly lay out our vision for HighPeak moving forward. With our new Chairman of the Board and the entire team pulling in the same direction, we are moving forward with purpose and a sense of urgency. We're getting back to the basics, running a tight, disciplined operation built on focus, efficiency and sound business sense. Our assets are strong, our people are capable and our commitment to managing cash flow and capital is steadfast. Now I won't sugarcoat it. Our debt is high, and the market has told us exactly what it thinks about that. For a while, we drifted without a clear long-term plan, and it showed. That changes now. We're rolling up our sleeves to strengthen the balance sheet and rebuild the trust the only way that works through steady, consistent results. We know talk doesn't cut it in this business, results do, and we will deliver. Now the first step in figuring out where you're heading is being very honest about where you stand and how you got there. Now we've done a lot of things right, and I want to tip my hat to the team for the hard work and follow through, but we also have some issues we need to face head on, no sense pretending otherwise. At the end of the day, the management, the Board and every one of us at HighPeak own the results we have delivered to date, the good, the bad and everything in between. It's ours to fix and to build upon. So let's reflect on what we have done well over the past 5 years and also what needs improvement. You can refer to Page 6 of our investor presentation. So what have we done right over the past 5 years? Well, we've assembled a high-quality asset base in one of the most desired basins in the world composed of 2 highly contiguous acreage positions with oil-rich inventory, allowing for cost-effective extended lateral development and strong IRRs. We've done a great job operationally, maximizing efficiencies and developing a lean cost structure to drive enhanced economics. I would put our operational efficiency against any public company in the E&P space. We've also delineated a long runway of highly economic multi-bench oily inventory that is primed for full-scale capital-efficient development. These are all great attributes, and I want to commend the HighPeak employees, management and even our investors for believing in the team in this area. But now let's look at some areas where we have misstepped and now need to improve. We are a controlled company, which has led to poor governance quality scores and high risk potential from the likes of ISS, Glass Lewis and some notable rating agencies. At times, we had a growth at all cost mentality even in the face of commodity price weakness. This ends now. This last view of cash management led us to overusing leverage and resulted in high cost of capital. Finally, what we've heard loud and clear from our investors is that our short-term focus on the business has eroded market confidence. We own these weaknesses, plain and simple, and we have a plan to set them right. So what does that look like? Well, some of these fixes we can tackle right now, and we've already started. Others are going to take a little time and patience. This isn't something that happens overnight. We see it like climbing a set of stairs, one solid step leads to the next. The first one is already behind us. We have reset our governance and put the right structure in place. That gives us the footing to run this company the correct way with discipline, accountability and good old-fashioned business sense. We're not trying to reinvent the wheel here. Our focus is simple: Generate steady, sustainable cash flow; pay down our debt the smart way and keep our financial house in order. Lucky for us, we've got a solid asset base that gives us the horsepower to get it done. And as we follow through step by step, I believe we will earn back the market's confidence the right way by doing exactly what we said we would do and sticking to our long-term plan. Now let's talk a little bit more about each of these areas needing improvement. If you take a step back and look at any public company, there are 3 levels of control. First, you have the Board of Directors providing direction and oversight. Second, you have management team directing the day-to-day operations. And finally, you have the shareholders who bring accountability and real-time feedback to the organization. Previously, all 3 of these control groups were effectively consolidated or led by a single individual. Again, this has led to poor governance scores by proxy advisory firms and credit agencies. However, over the last few months, we have made key changes in each of these areas. First, as most of you know, we've had a change at the top. Effective immediately, I have accepted the role of permanent President and CEO of HighPeak Energy. And I've got to say I'm proud of how this team has stepped up. Several folks in senior management have really grabbed the reins and leaned into the vision. It's been all hands on deck, and I couldn't ask for a stronger group to work alongside. We have made several changes to the senior management levels, and I want to congratulate several of these employees on their new roles and titles. Second, we are pleased to welcome our new independent Chairman, Jason Edgeworth. It's been a genuine pleasure working alongside him. Jason brings strong leadership, clear perspective and a shared passion for the company's long-term success. I am confident with full alignment between the Board, management and shareholders; we will drive HighPeak forward with focus and alignment to shareholder value. Third, unlike in recent past, we now have a fully independent Board committees in place consistent with best practices for noncontrolled companies. These include the Compensation Committee, the Nominating and Governance Committee and of course, the Audit Committee. This structure strengthens oversight and reinforces our commitment to transparency, accountability and integrity in everything we do. I want to emphasize again that both management and the board are completely aligned in our priorities. We share one clear goal, driving long-term success and sustainable value creation for HighPeak and its shareholders. Now regarding the shareholders, there are some major changes planned. As you may know, HighPeak, the public company, is majority owned by 2 private equity partnerships, HighPeak Energy Partners I and HighPeak Energy Partners II. These 2 partnerships own and control over 75 million of our 125 million outstanding common shares. As was recently disclosed, these partnerships plan to begin methodically distributing shares over the next 2 years, with HighPeak II being distributed first in 2026 and HighPeak I in 2027. It is important to note, most of the limited partners have a long-term investment mindset. While we anticipate most of these shares will continue to be held by the limited partners, it will potentially provide an opportunity for some larger institutions and investors to be able to invest in HighPeak stock, which should assist our low float issue. With all these changes, we plan to effectively split the 3 forms of control; management, the Board and the shareholder base into independent but fully aligned groups. Now continuing on the topic of accountability. Management will operate under clearly defined measurable goals, and our compensation will be directly tied to our performance against those objectives. We are in the process of finalizing our 2026 road map, which will outline these performance metrics and align our incentives with long-term value creation. You can expect this framework to be in place and active in early 2026. Now let's talk a little more about sound business principles. As you know, commodity prices have a very direct effect on profitability. So despite improvements in operational efficiencies and cost structure, commodity prices are the single biggest factor in changes to our cash flow. So how are we going to navigate this volatile commodity market? In our slide deck, on Page 9, we have laid out a very simple yet common sense approach. And I want to point out that the oil price laid out on the slide are long-term pricing. Again, we are taking a long-term approach to capital discipline. All that to say, we will not have a knee-jerk reaction to very short-term swings in pricing. We will take a methodical and disciplined approach. Let's start with the bear case scenario, which we are currently close to right now. In the event long-term oil prices are below $60 a barrel, our focus will be exclusively on operating within cash flow. This means on the CapEx front that we will be operating less than a 2-rig development program. This level of activity would lead to a moderate decline in overall production volumes, but this goes without saying there's absolutely no need to focus on growing production in an oversupplied or weak market. Again, we have a long-term view on value creation, and there is no reason to overdevelop or accelerate in drilling our high-value inventory in a low commodity price environment. Now as far as liquidity is concerned, in the face of sustained low oil price environment, anything is on the table. We will preserve liquidity. Now moving to the base case scenario of long-term oil prices in the $60 to $70 a barrel range. Our focus will be on free cash flow generation and prudently paying down our debt. On the CapEx front, this would most likely equate to a 2-rig development program resulting in maintaining current production volumes. Now on the liquidity front, we would maintain our current dividend and use the additional free cash flow for a modest debt paydown strategy. In a bull case scenario of $70-plus oil, our focus will still be on increased free cash flow generation and accelerated debt paydown. On the CapEx program, we would likely be 2 rigs or just slightly more, leading to moderate production growth. And on the liquidity front, it would allow us to accelerate debt paydown. But let me be clear, we would have to be in this bull case scenario for quite some time and reach a reasonable leverage ratio before we would ever consider additional shareholder value initiatives. We will get our financial house in order first. As I said earlier, these are basic business principles, but I wanted to lay them out in a very clear and concise manner. This will be the framework for our high-level road map for 2026 and beyond. Now we have listened to our constituents, shareholders, creditors, rating agencies and peers in the industry. And we have compiled some of these comments that we've heard and hear often, and we've laid them out on Slide 10 of our company presentation. Now we're fully aware of the challenges in front of us from geographical positioning of our assets, to cost of capital, to questions surrounding the company's potential strategic options. Now the key question is how to begin to rebuild and sustain market confidence. We're not ignoring the realities of our situation. Instead, we're facing them head on. And I want to take a moment to address several of the most common concerns we often hear. I want to do that openly and directly. Number one, Eastern Midland Basin is unproven. HighPeak has drilled over 350 horizontal wells and have produced over 90 million BOEs from those wells, and third-party organizations are now recognizing well performance, cost differences, i.e., profitability and inventory quality and scale. HighPeak's and offset operators' track records over the last several years have dispelled this comment. Number two, you guys have a growth at all cost mentality. As I previously said, there were many times in our history that may have been the focus. But I think HighPeak has been consistent over the last couple of years in trying to maintain our current level of production and show the market that we are going to operate within cash flow. Number three, HighPeak is overlevered. That is a true statement. We are overlevered for the size of company we are today, and this is one of our primary focuses moving forward. We are working to address this issue in a thoughtful and methodical way. Hopefully, you've gotten that sense through this call that operating within cash flow and paying down debt are absolutely top of our list and major areas of focus. Number four, you're starting to have GOR issues as your percentage gas production is increasing. We have seen increases in gas and NGL production. However, this is primarily due to historical takeaway issues that have been solved. As our gas midstream partners increase their takeaway capacity, and we have connected all of our central tank batteries to our gathering system and our gatherers have lowered field-wide pressures, has allowed more oil and gas -- or more gas and liquids to flow to sales. I would also like to remind everybody that our percent oil production will fluctuate from quarter-to-quarter at times due to where our completion operations are taking place and the timing associated with turning online new pads. But at any reasonable cadence, our oil percentage should trend closer to 70%. Number five, HighPeak has no float in their stock. Now I hear this one a lot. Typically, I own it in my personal account, but I can't own it in my fund. Now this has been a serious issue that we have faced for some time now, and we have done some things in the past that may have exacerbated the problem. However, we are working to fix this issue as it is extremely important moving forward. I've already discussed the methodical distribution plan for the 2 HighPeak partnerships. We are going to be measured and deliberate in how we solve this problem. It cannot be fixed overnight. Number six, HighPeak has been for sale for years. HighPeak is a publicly traded company. And as such, we are always open to evaluating value-enhancing opportunities. That said, again, I want to be very clear, the Board and management are fully aligned and unwavering in our commitment to long-term strategy of operating within cash flow, exercising disciplined decision-making and maintaining measured controlled execution. Our focus remains on building sustainable value for our shareholders over the long term. Final one, HighPeak is a controlled company, and there is no oversight. As I've highlighted earlier in the call today, we're very encouraged by the progress we've made over the last few months. We have established fully independent Board committees, appointed an independent chairman and put in place a clear plan starting in 2026 to transition away from being a controlled company. These steps strengthen oversight, enhance accountability and position HighPeak for long-term sustainable value creation. Now in conclusion, our company is in the midst of a meaningful transformation, one centered on stronger governance and accountability and a long-term focus on creating value for our shareholders. We're allocating capital with discipline, managing costs with precision and maintaining relentless focus on efficiency. Our asset base gives us the flexibility to operate within cash flow, generate sustainable free cash, reduce debt and continue building value the right way. We are not in the business of chasing production for short-term gains. We are here to build a durable, well-run enterprise, one that applies sound business principles and puts every dollar to work where it drives the greatest return. Through disciplined execution, clear direction and a unified team; we're positioning this company to perform in any environment. We are proud of what we have built, confident in where we are headed and focused on delivering lasting value for our shareholders, employees and partners. Thank you. And with my comments now complete, we'll open the call up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Mike, can you talk in the context of your leverage plan, how you think that unfolds over 2026 under, say, your $65 scenario and how much flexibility that might give you or give the company to address the term loan?
Michael Hollis: Absolutely, Jeff. No, great question. Obviously, the free cash flow generation is going to be dictated mostly by the oil price that we garner from the market. HighPeak is doing all the things we can control from cost management to capital deployment. But again, as you've pointed out, in that kind of base case scenario, we can generate significant free cash flow. Our term loan debt that we have today, we can pay down debt at par with no penalty. So as we generate free cash flow in that scenario, look for us to do that again, which will reduce absolute debt as well as reduce our leverage ratio. Now if you look further into the future, again, could be a year, could be more as we continue to delever the company and as we continue to progress and our production base ages, what you'll see is our corporate decline rate will come down, call it, 1.5% to 2% a year. Today, we sit kind of mid- to high 30% decline rate. That changes your credit profile and again, opens you up to potentially more normal way financing into the future. But again, Jeff, today and into the very near future, our goal is capital management and paying down debt.
Jeffrey Robertson: How do hedges fit into those goals, Mike? I know you've got, I think, an average swap price on some of your production for '26 at about $63 a barrel.
Michael Hollis: Yes. And could you repeat that? Our speaker was cutting out a little bit there, Jeff, I'm sorry.
Jeffrey Robertson: Sure. Just basically, how do you think about hedging in the context of managing cash flows in a $60, $65 per barrel price environment to work towards your leverage goals? I know you have some, I think, minimum requirements, but I'm just curious how you think about that as you go forward.
Michael Hollis: You bet. No, great question, Jeff. We want to be very -- what you will see from HighPeak is a much more systematic and methodical hedging program. Obviously, we do have some minimum requirements and we will continue to have to hedge a little bit into the future each quarter, but those are small pieces. Now we'll always be opportunistic if that opportunity were to come along. You'll notice that we layered on some gas hedges a couple of quarters back that were fantastic prices in the $4.43 range. We've also hedged some basis differentials. But I think what you'll see in the -- as prices continue to stay in this lower range, it will be very methodical and small slices that we will layer on. Again, you tend to see less when prices are low. And then when prices move up a little bit, I think you're going to see us layer on a little bit more. We want to protect our capital budget. We want to protect the dividend as it sits today, again, in this kind of base case $60 to $70 range. But I think looking forward to think somewhere in the 55% to 65% hedged at these kind of prices are probably what you would see HighPeak move towards. Obviously, if we had a spike in commodity prices, you may see us push that above that hedge percentage going forward.
Operator: Our next question comes from the line of Noah Hungness with Bank of America. Our next question comes from the line of Nicholas Pope with ROTH Capital.
Nicholas Pope: Curious, as you kind of look at this plan and you look at the flex that you have with different -- at different oil kind of environments, you brought that second rig back. Curious if there's changes in how you're thinking about where kind of within the acreage footprint you're going to be drilling or what you're going to be drilling? And if the focus changes in those different scenarios, maybe between Flat Top, Single Peak or even in the different formations, like how much flexibility is there? And how much does the pricing affect what and where you're drilling these different scenarios?
Michael Hollis: No. Great question, Nick. The good thing is we're drilling Wolfcamp A, Lower Spraberry codeveloped. I think 5% to 10% that we will drill in the Middle Spraberry zone, whether we run 1.5 rigs or 2 rigs, that split will not change in what we drill. Now where we drill, if you look at the split of the capital deployment that we've had in the recent kind of year or so, it's about 70% up at Flat Top and 25%, 30% in Signal Peak. That also fits with what our inventory in each one of those zones are between Flat Top and Signal Peak. Returns are very similar between the 2 areas in all these zones. So again, we approach it as a co-development program and the split between Flat Top and Signal Peak is more based on the split of inventory, which is about 70-30.
Nicholas Pope: Got it. That makes sense. As you kind of look at the base, I mean, the lease operating expenses have been, I mean, almost flat the last 6 quarters. I'm curious if there's opportunities for going back into wells, seeing an uptick in workovers, field maintenance type work as you're maybe shifting a little bit away from a more active drilling program, the field optimization kind of you talked about 350 wells that have been drilled in this Eastern extension of the Midland. Curious how that might change with kind of maybe a slower development program.
Michael Hollis: No. Great question, and we're ahead of you on that. So if you look at the last kind of 2 quarters, you'll see some expense workover spend that was a little higher than what it had been kind of Q1 of this year or Q4 of the previous year. So where we were normally running kind of $0.80 per BOE, somewhere in that range, we've been $1 or a little bit more in the last 2 quarters. So as we pulled back on that capital program, now there are some capital workovers that we have done as well, but think very, very high rate of return work. So we've gone into some of our wells and done some expense workovers and have seen some really good results from that. So again, while we've pulled back activity on the drilling complete side, we have gone back and optimized our production base. And we'll continue at a little bit lower pace going forward because we hit all of the large items that we had on our list in the last quarter or so. But there will be additional work every quarter that we will continue to focus on to keep that efficiency high.
Nicholas Pope: And those expense workovers that you kind of highlighted, I know you break out somewhat, is that production optimization? Or is that kind of remediation type work? Is the -- what's the kind of mix of...
Michael Hollis: So the answer there, Nick, will be yes and yes. So usually, what you have is you'll have a well that may be struggling with a pump that's 2 years old. And again, the fact that we are able to get run lives of 2-plus years out of these pumps is almost unheard of in the Permian Basin. But for instance, when that will happen, we -- obviously, you would have an expense cost to go replace that or change the artificial lift. We'll take the opportunity at that point to go in, do a little bit of cleanout on the well, maybe a little bit of what I call small pump job, nothing like a frac job, a little asset and things like that to be able to optimize that production. And then we typically lower where we pump the well from. So we will move down in the hole so that we can pull down the pressure we're pumping these wells at to a lower point, i.e., giving more drive from the reservoir into our well, and we're seeing great results from that. Some of these wells we're actually pumping deep into the curve, lowering our point that we're drawing that fluid from by as much as 250 to 300 feet. And with the reservoir we have with a little bit higher permeability, we're seeing great results from that. So you don't see it day 1. It takes time, but you're going to start seeing better and better recoveries from these wells.
Operator: [Operator Instructions] Our next question comes from the line of Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Just a follow-up, you said you're going to keep the second rig at least through the end of December. Can you just talk about how the carryover inventory will impact production at least in the first half or maybe first 3 quarters of 2026?
Michael Hollis: Yes, sir, absolutely. So we picked up the second rig October 15. Just kind of a rule of thumb for where we're at in the basin, we typically drill 2 wells a month per rig. So that will get us an additional 5 to 6 wells that we've drilled a little more than 2 per month now. So call it, 5 to 6 wells that we will have drilled in the fourth quarter in addition to the 1 rig program that will carry into 2026. Again, we're not talking about 2026 activity per se. Obviously, we laid out in the prepared remarks, a kind of high-level overview bear, base and bull case that will flow through our decisions on how we guide for 2026. Again, it's a little early. We'd like to see where oil prices kind of level out over the next month or so. But to your point, bringing over those 5 wells because, again, anything you drill in the fourth quarter typically doesn't come online until the first quarter or early second quarter. So as we look into 2026, we will have somewhere in the range of 16 to 18 DUCs are wells in some form of completion that roll into 2026, again, supporting that kind of Q1 and Q2 production forecast.
Operator: Our next question comes from the line of Noah Hungness with Bank of America.
Noah Hungness: For my first question here, you guys yesterday filed an S-3. Could you maybe just talk about what the reasoning behind that was and if you had any plans with that moving forward?
Ryan Hightower: Yes. Noah, this is Ryan. Great question. The sole reason for filing the S-3, our previous shelf registration statement that we had on file went stale and expired. So all we were doing was refreshing it. We have absolutely no intention of issuing any new shares anytime soon.
Noah Hungness: Great. And then given that we're kind of on the border here of your base and bear case. How long do you need to see prices kind of either sub-60 to drop activity or between that $60 to $70 to move into that base case? Is it a month? Is it a few weeks? Just how are you thinking about that?
Michael Hollis: So a couple of ways we're thinking about it, Noah. And obviously, there's -- it's a multivariate problem. Obviously, you can have a couple of days. You can even have a month. When you look at this year, we've probably averaged, I don't know, $63, $64 for the whole year. That would put you pretty squarely in between the bear and base case. Again, these aren't hard lines. There's going to be some squish between them. But if I look into 2026, even if you were in the bear case, something less than 2 rigs, again, remember, you pick up, it's kind of like -- they call it a dip switch, on or off, right? So you pick a rig up, it's on, lay it down, it's off. So in order to get something that's less than 2 kind of infers something more than 1, so call it 1.5. The way you would do that is drill with 2 rigs for a portion of the year and then lay it down. Now kind of when I answered the question for Jeff on timing, when you drill these wells and when you bring them on are important for production throughout the quarters of the year. So in reality, I would foresee if we drill -- and with Board approval, obviously, if we chose to do more than 1 rig and we're in kind of the 1.5 to 1.7 rigs for next year based on whatever the oil prices look like toward the end of the year, we would most likely have that second rig going for the first portion of the year. So you may see us keep the second rig for some months into 2026. And then it would be determined by kind of oil price and long-term outlook as well as just the whole macro environment that we're in. It's very volatile right now. So I want to make sure that we keep that kind of long-term prudent look of what's going on in the market.
Noah Hungness: Got you. And just one more question. Could you maybe add some details around the distribution plan for '26 just regarding HighPeak Energy Partners II. Is this going to be just a single drop down to the LPs in one go? And then just a rough idea on timing within the year, if you could give that.
Ryan Hightower: Yes. Noah, this is Ryan again. Really good question. At this point, I don't think we're prepared to lay out the exact plan, but the plan, like Mike said during his prepared remarks, is to be very methodical, which most likely translates to us slowly metering them out to the different LPs throughout the calendar year. Again, most of the limited partners have a very long-term investment mindset here. So it's nothing that causes us any concern from any kind of share overhang. We don't expect anybody to rush to sell by any means, especially at current share prices. But we will be very strategic and methodical about it. And it will most likely start early in the year, but will last throughout the calendar year.
Operator: And I'm currently showing no further questions at this time. This does conclude today's call. Thank you all for your participation, and you may now disconnect.